Operator: Good day, and welcome to the Anixter International third quarter earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Chris Kettmann for opening comments and introduction. Please begin when ready, Mr. Kettmann.
Chris Kettmann: Thank you, operator. Good morning, everyone, and thank you all for joining us to discuss Anixter's third quarter 2010 results. By now, everyone should have received the copy of the press release, which was sent out earlier this morning. If anyone still needs a copy, you can go to Anixter's Web site or call Chris Kettmann at 312-553-6716 and I can resend the information. On the line today from Anixter's management team are Bob Eck, President and CEO; Dennis Letham, Chief Financial Officer; and, Ted Dosch, Senior VP of Finance. After management completes their opening remarks, we will open the line for Q&A session. Before we begin, I want to remind everyone that statements in this conference call, including words such as believe, expect, intend, anticipate, contemplate, estimate, plan, project, should, may, will, or similar expressions are forward-looking statements. They are subject to a number of factors that could cause the company's actual results to differ materially from what is indicated here. These factors include general economic conditions, including the severity of current economic and financial market conditions; the level of customer demand, particularly for capital projects in the markets we serve; changes in supplier sales strategies or financial viability; political, economic, or currency risks related to foreign operations; inventory obsolescence; copper price fluctuations; customer viability; risks associated with accounts receivable; the impact of regulation and regulatory investigated in legal proceedings and legal compliance risks; and, potential impairment of goodwill and risks associated with the integration of acquired companies. These uncertainties may cause our actual results to be materially different from those expressed in any forward-looking statements. We do not undertake to update any forward-looking statements. Please see the company's SEC filings for more information. At this point, I'll turn the call over to Dennis.
Dennis Letham: Thank you, Chris. Good morning, everyone, and thank you for joining us. Before going into the details on the drivers behind the third quarter operating performance, let me begin by saying we're very pleased with the strong 90-basis point improvement in year-on-year operating margins and the sequential 40-basis point improvement in operating margin. We delivered another quarter of incremental operating margin leverage of more than 15% combined with excellent cash flow performance. In the midst of a slower than anticipated economic recovery, it will take some time to get back to our pre-recession levels of sales and earnings. However, our progress to date demonstrates both the strength and scalability of our robust business model. As we continue to see revenues recover, we anticipate being able to generate strong incremental operating margins and improving overall operating margins throughout our end markets and geographies. Let me begin with a more detailed discussion of our third quarter sales results. In the third quarter, we reported a 10% increase in year-on-year sales. After adjusting for $3.7 million of unfavorable foreign exchange effects, an estimated $15.6 million of favorable copper prices and $30.7 million of unfavorable effects stemming from our decision to exit the Alcatel-Lucent contract, organic sales grew by 12% over the prior year period. In addition to the year-on-year sales growth, we also saw 2% sequential sales growth. The year-on-year growth we're seeing in all three of our end markets and each geographic segment despite one less shipping day in the current year's third quarter. Sequentially, the third quarter had one less shipping day than the second quarter, but yet we experienced sequential quarter sales growth in all three end markets and each geographic segment with the exception of Europe. The sequential decline in Europe was expected as a result of the typical summer vacation and OEM planned shutdown impact in that region. We believe our sales results are indicative of our company being well positioned to not only benefit from improving macroeconomic factors, but to also grow our share in each end market worldwide. Looking at the third quarter sales trends within each of our end markets, we experienced the following, on a worldwide basis, enterprise cabling and security solution sales increased organically by 9% as compared to the third quarter of last year, excluding the previously mentioned exit of the Alcatel-Lucent contract within this end market; security sales grew an estimated 10%, compared to the third quarter of 2009, exclusive of foreign exchange effects. Geographically, our enterprise cabling and security solution sales reflected organic sales growth of 10% in North America, 14% in Europe, and 3% in the emerging markets as compared to the year ago quarter. Despite the previously mentioned seasonality from the second to third quarter, including the additional holiday in the third quarter and the normal Europe vacation impact, it's important to note that on a sequential basis from the second quarter of 2010 to the third quarter of 2010, enterprise cabling sales increased by 1% organically. Worldwide electrical wiring cable sales, exclusive of foreign currency and estimated copper price effects, experienced a year-on-year organic sales improvement of 11% globally, with North America and Europe showing increases of 11% and 5%, respectively. In addition, sales were up 72% in the much smaller but strategically important emerging markets. Continued improvements in the day-to-day business were supplemented by growth in larger project business. On a sequential basis from the second quarter to the third quarter of 2010, worldwide electrical wiring cable sales increased by 3% organically, again reflecting positive growth despite one less shipping day and the vacation effects in Europe. As a reminder, our worldwide OEM supply business was our hardest hit market over the last two years. After experiencing over 20% decline in sales in 2009 compared to 2008, it was encouraging to see positive sales trends that we experience in the first two quarters of this year continued through the third quarter. It also appears that previously depleted inventory levels of our customer's products have been replenished and higher levels of capital spending and most customer vertical markets are beginning to drive greater demand for the products of our OEM customers. Sales for that end market, exclusive of foreign exchange effects, were up 20% on an organic basis as compared to the year ago quarter. In North America, we experienced an organic sales increase of 11% year-on-year, while Europe was up 36%, and emerging markets was up 18%. Sequentially, worldwide OEM supply sales were up 3% organically from a very strong second quarter level more than offsetting the impact of one less billing day in the third quarter and the previously mentioned seasonality in Europe. Let me also remind you that the OEM supply market is more directly impacted by corporate and consumer confidence levels as spending on capital industrial goods and durable consumer goods drive demand in this business. Bob will discuss the current business trends and implication for the future in greater detail in a few minutes. Turning next to gross margin, in the third quarter, we reported gross margin of 23.2%. The gross margin percentage reflects a 60-basis point improvement year-on-year and a sequential improvement of 30 basis points. As mentioned last quarter, the stabilization in our gross margin followed by three straight quarters of improvement is a positive indicator, along with an improved daily sales run rate that the economic recovery has resonated in most parts of our business. Looking next at operating expenses, we reported a year-on-year increase of approximately 8% from $229.8 million in the year ago quarter to $247.2 million in the current quarter. Foreign currency did not significantly affect our operating expenses. So the increase of 8% compares favorably with the 12% increase in organic sales exclusive of the previously mentioned terminated Alcatel-Lucent contract. As expected, operating expenses increased sequentially by less than 2% due to higher variable compensation and other costs associated with the increase in sales and earnings. To summarize from an operating income perspective, operating profit was $77.5 million in the third quarter as compared to the prior year's quarter of $58.4 million. The 5.5% operating margin in the current quarter compares to a 4.6% operating margin in the year ago quarter. The improved gross margin, combined with the lower operating expense run rates, contributed to the strong third quarter performance while positioning us well for further improvement in the recovering economy. As we move further down the income statement, interest expense of $12.5 million was down $4.9 million from the year ago quarter. The decrease in interest expense was driven by both a lower average cost of debt and a lower debt level within the year ago quarter. The 6.1% average cost of debt in the third quarter compares favorably with the 6.3% level in the second quarter of 2010 and the 7.7% in the year ago quarter. The reduction was primarily due to the early retirement of high cost debt. At the end of the current quarter, approximately 86% of our outstanding debt had fixed interest rates either by the terms of the debt or through hedging contracts. Current quarter repurchases of 3.25% zero coupon convertible notes resulted in a reduction of $8.2 million of debt and the recognition of a $100,000 pre-tax gain, while repurchases of the 2014 senior notes with an accretive value of $11.8 million resulting in a pre-tax loss of $2.8 million. Other income of $1.5 million was primarily due to foreign exchange gains. During the current quarter, an effective tax rate of 42.8% resulted in income tax expense of $27.3 million, compared to an effective tax rate of 47.1% resulting in a $19.6 million of income tax in the year ago quarter. The increase in the current quarter tax rate reflects a revised full year tax rate of 41.4%, compared to 40% for the second quarter of 2010. The increase in the projected effective tax rate for the full year 2010 reflects reduced expectations for earnings from our foreign operations. The volatility in the rate in both years is primarily driven by income dispersion by geography. For the third quarter, the company reported net income of $36.5 million or $1.03 per diluted share, compared to $22.1 million or $0.61 per diluted share reported in the year ago period. After adjusting for the current period loss on repurchase of debt, net income in the third quarter of 2010 would have been $38.2 million or $1.08 per diluted share. This was significantly better than the third quarter 2009 net income of $21.4 million or $0.59 per diluted share adjusted for a gained repurchase of debt in the year ago period. Moving on, we are pleased with another quarter of strong cash flow performance. During the quarter, we generated $54.2 million in cash from operations as compared to $134 million in the year ago quarter. This quarter's positive cash flow was achieved despite the working capital requirements to support the higher level of sales this year. Last year's third quarter cash flow was primarily driven by lower working capital requirements associated with a much lower volume of business. Capital expenditures were $5.3 million in the quarter, compared to $5.6 million in the year ago quarter. We anticipate continued positive cash flow generation in the fourth quarter of 2010 due to reduced working capital requirements associated with seasonal sales declines. Short-term borrowings under accounts receivables securitization facility along with the current quarter's cash flow were used to reduce debt through the repurchases previously mentioned. This has resulted in a debt-to-capital ratio of 42.9% at the end of the current quarter down from 44.8% at year-end 2009, and 46.2% at the end of the third quarter of 2009. We have $321.8 million in available, committed, unused credit lines; $35 million of outstanding borrowings under our $200 million accounts receivable facility; and, invested cash balances of $7.8 million. We continue to regard our strong financial position and significant liquidity as important differentiators for many companies in today's still volatile market. Our position regarding strategic acquisitions remains the same as we discussed in prior quarters. We continue to evaluate the use of optimal – optimal use of capital. If new term acquisition opportunities do not materialize, we may, from time to time, repurchase outstanding common shares or further reduce borrowings, including the 3.25% convertible notes. Our reduced leverage on the balance sheet and other favorable financial characteristics provide Anixter with the flexibility to adjust quickly to new market realities, fund investments and crucial long-term growth initiatives, and allow us to efficiently capitalize on an improved yet uncertain global economic environment. Our recent announcement of $3.25 per share special dividend is an example of our willingness to take advantage of that flexibility to directly return cash to shareholders without limiting our ability to respond to changing market requirements. At this point, let me turn the call over to Bob to discuss strategic initiatives, current business trends, and the near-term outlook.
Bob Eck: Thanks, Dennis. Thanks, everyone, for joining us today. The third quarter demonstrated continued healthy recovery across our reporting segments and end markets. This is a continuation of the trend we have seen as this year has unfolded of a rebound in capital spending that then leads to growth in our sales. The organic growth that we achieved is the result of continued focus on our market expansion initiatives as well as continued stronger business wins in all end markets. Expenses continued to be well-controlled in light of the increase in volume that we are experiencing. And we were able to deliver good operating leverage. Strong cash flow continued from both operating results and working capital management. In consideration of our continued cash flow generation, ongoing reduction in debt and leverage, and our outlook for continued moderate growth, we announced the special dividend during the quarter, continuing our long-standing track record of returning excess capital to shareholders. Overall, we are pleased with the performance of our organization during the quarter. The enterprise cabling and security solutions end market continued to show improving trends. The recent project trends that we have seen globally in the enterprise market reflect ongoing investment in new IT infrastructure, particularly continued growth in data centers. Project activity was healthy in all geographies. We have seen growth begin to accelerate in Latin America and Asia Pacific for a more muted growth early this year impacted particularly by the continued difficult environment in Venezuela, which has affected the year-over-year comparison. In EMEA and North America, the project improvements we saw in the second quarter continued this quarter. Our new business development initiatives continue to yield good results across all geographies for the enterprise cabling and security solutions end market. And leveraging our technical and supply chain expertise along with our global platform, we have been able to deliver a service offering that has proven valuable to customers with complex requirements. Recently, there has been some indication of price increases in the copper data cable market. The impact has not been meaningful to our businesses at this point. It is important to remember that copper cabling is only one of many products that's in our enterprise cabling and security solutions end market. Additionally, it remains to be seen whether the announced price increases will hold in project pricing as any cost (inaudible) to avoid price increases. Turning to security sales, we experienced reasonable recovery across most reporting segments. Sales were up 10% worldwide with the emerging markets growing strongly, while our more mature security business experienced slower growth. The transport IP-based security systems and the desire to secure public and private places continue to increase to create growth opportunities in this market. The technology shift toward IP has further raised focus on the importance of infrastructure capable of supporting the IP-centric, higher bandwidth applications increasingly being deployed. Our long-standing strength and infrastructure recommendations and design enable us to be a key resource to customers evaluating this IP security technology. Moving now to the electrical and electronic wire and cable market, in the third quarter copper was favorable to sales growth. In addition, we began to see project billing to increase in line with our expectation that at this point in the cycle, we would see a ramp-up in the longer cycle industrial, energy, and mining projects. We have seen ongoing strength in engineering activity for larger industrial projects as well as project awards being released. If global trends in industrial production, resource development, and energy generation continue, then we would expect the recent healthy sales at our wiring cable market to continue. While copper is up significantly from last year, the impact in sales continues to lag the change of spot price of copper. As we have said in the past, in an environment with increasing, but still comparatively soft demand and excess cable production capacity, the ability to achieve price increases will be effective. Price increases have been announced and products been traded at a price list. However, project prices for all products are subject to demand and plant loading considerations. Going forward, we do expect to see some increases due to copper. However, it is important to note that some projects awarded earlier this year and that will shift in the coming months, have product pricing locked in at lower copper costs. These factors will cause a lag in realization of the copper cost increase. Our initiatives in the wire and cabling market continue to improve, focusing on new business development, geographic expansion, and enhancing our support for global customers, including engineering procurement and construction companies. We are making progress with our expansion in Latin America. We continue to enlarge projects with global ETC companies, including large projects in North America, Latin America, and EMEA. Our programs focused on winning new customers and adding more accessory products continue to trend positively as well. Turning to the OEM supply end market in the industrial vertical, we are pleased that we continue to grow organically off a very difficult year last year. Growth was broad based in EMEA and North America. Growth is coming from three sources, increased production rates, extending our programs at existing customers to include more products, and new contract wins. Contract wins continued at a very strong pace as the year has progressed. New program implementations are underway or planned for later this year and will contribute to growth through the balance of this year and into 2011. In a recent development, late in the third quarter, we experienced significant gross margin pressure in Europe due to suppliers seeking high price increases while customers are resisting having those increases passed on to them. This situation is acute in Europe due to anti-dumping duties imposed on fastener imports from China. These duties are protecting a local European manufacturing base, and the resulting lack of competition coupled with an increasing demand is directly causing the price increases. We are currently taking steps to push back the increases, pass amount to our customer where possible, and to resource products to low cost countries other than China. We anticipate that the price increases and margin squeeze will affect our profitability in Europe for the balance of the year. The aerospace vertical markets have grown for the first time in Q3 compared to the prior year. This market was the latest into recession and accordingly has been lagging on the way out. While recent sales numbers are positive, they benefited from customer specific short term activity. Therefore, we anticipate ongoing challenges for the aerospace vertical market until the commercial aircraft market experiences a meaningful recovery. Across all three end markets and geographic reporting segments, we are maintaining inventory levels in line with an improving outlook. We do not want to build inventory too quickly ahead of time, at the same time, we do not want to subject our customers to service failures due to inadequate stock. We are experiencing expanding lead times, particularly in the OEM supply end market, which is driving some modest increases in safety stock. However, we do have opportunities to continue managing working capital tightly across all end markets and geographies, while supporting the increased growth we are experiencing. All end markets continue to relentlessly strive to add new customers and we have been successful with this effort in all geographies. New customer acquisition and our product and technology initiatives have tracked monthly in each end market and segment. As the only distributor in the end markets in which we participate delivering a value-added technical support and supply chain service model in 50 countries around the world, we continue to find success with our customers by providing global reach with a local touch and cross-selling across our end market specialties. As we look forward to the fourth quarter, the improved economic conditions and capital spending cause us to believe that we should continue to generate year-over-year growth. However, the increased number of holidays and the holiday season shutdowns by our manufacturing customers will put downward pressure on sales consistent with the seasonality we have seen in the past. Accordingly, we continue to focus on not letting our expense structure get ahead of the improving business. Recent economic forecast continue to present on uncertain look forward and possibly decelerating growth. We believe based on our recent past performance and current expense in working capital management that we will respond quickly and appropriately. We expect to continue to have good positive cash flow going forward and have strong liquidity from both cash flow and our available credit lines. The number of acquisition opportunities has increased in recent months. As always though, we will only pursue an acquisition if the strategic fit and pricing can create clear shareholder value. We will now open the call for questions.
Operator: Thank you, gentlemen. (Operator Instructions) We'll take our first question from Shawn Harrison with Longbow Research.
Shawn Harrison – Longbow Research: Hi. Good morning. A quick clarification first, in terms of the guidance, it sounds as if you're guiding to just typical seasonality adjusting for the days. Is that a correct statement?
Dennis Letham: Yes. That is correct, Shawn.
Shawn Harrison – Longbow Research: Okay. And then my two follow-up questions, maybe if we could just elaborate more on the project activity you're seeing in wire and cable and also within enterprise. Where is that versus a normalized environment? And then the other question is Europe, I understand the cost side that you're fighting right now, EBIT margins were down 50 basis points. But what kind of volume level is necessary in that region to get it above breakeven and maybe to get it closer to the rest of the operating groups? Thank you.
Bob Eck: Well, okay. Multiple questions in there, so let me start with the project activity. Project activity in ECS and wire and cable, in terms of a normalized market is still growing up to that level. So if we in the past said that in a strong economy project activity ends up being about 20% of revenue. We're not at that level yet but we are definitely seeing increasing project activity and good strength in all geographies today across both of those end markets. Turning to Europe, to me there's a couple of issues in there. And I think the significant issue I talked about in my comments was the pricing pressure in the fastener business – in the OEM supply business. That was a significant shift for us in the quarter and that is probably right now one of the most critical issues we have in that business. If that issue – if we can resolve that issue, I don't think we have a volume problem right now so much as a gross margin issue because of that squeeze in the fastener business. Dennis or Ted, I don't know if you could add more color.
Dennis Letham: I can give a little more color on the squeeze a little bit. You may be familiar with the fact that the EU put some tariffs on fasteners coming in to Europe out of China, which has provided a shield for the manufacturers of fasteners in Europe to increase pricing. So we get the pressure from that side. The other side that's working against us is if our customers – and we do have customers who fall into this category, are exporting product to the US or to market where the product gets priced in US dollars, the relative strength of the European currencies, both the Euro and Sterling versus the dollar, is putting the customer in a squeeze on his side, which is creating a lot of resistance for passing through the cost increases. So we're squeezed in the middle here and the answer to this is we're going to have to do some resourcing of some product and we've got to do a lot of job owning with the customer base.
Bob Eck: Yes. And I think one other point just to make on that is that there's a large portion of our customers in Europe are somehow affiliated with practices in the automotive industry, whether they're auto companies, engine and drive train guys, truck manufacturers. And that's a process called PPAP, which basically is our supplier certification process. If we want to resource fasteners to a new supplier, we have to get approval from the end customer through this PPAP process. And it's basically quality control stuff that the OEM's take. That process can take weeks or months, and more often leans towards months. And that's why I made the comment in my prepared statement that we expected this margin squeeze to be a challenge for us through the balance of the year.
Shawn Harrison – Longbow Research: Okay. Maybe just to make sure I'm clear on this. Without the European cost and pricing issues, Europe is a region would have been profitable for the September quarter?
Dennis Letham: Yes. It would have been about breakeven, Shawn. All three quarters of this year, our sales have been plus or minus a percent or so from $250 million. And if you remember back in Q1, we were about 20 basis points profitable. Q2 lift about 20 basis points the other way. So the current volume will drive a breakeven business with the current mix of business. Improved mix addressing the product cost in the OEM side will continue to allow us to improve on that breakeven performance.
Shawn Harrison – Longbow Research: Okay. So it's really just a function of greater OEM supply at a proper margin profile along with greater volume and the wire and cable and enterprise businesses?
Dennis Letham: Correct.
Shawn Harrison – Longbow Research: Okay. Thank you.
Operator: We'll take our next question from Hamzah Mazari with Credit Suisse.
Hamzah Mazari – Credit Suisse: Thank you. Just first question, on the incremental margins you're seeing of slightly over 15%, how should we think about those beginning to normalize over what timeframe? Can we expect incremental to continue over the next couple of quarters at least given what you're seeing in the demand environment and when you think of beginning to add back some of the variable costs?
Bob Eck: Yes. As you remember, this is the second quarter that we were over 15% with our incremental operating profit margin. We believe that over, say, at six to eight quarters, the theme's [ph] recovery that we ought to average incremental operating profit margin improvement of 10% to 12%, we believe we'd be above that 12% as we have been for the first several quarters before we start to ramp down closer to the 12%. So we think we can continue at that, say, 15% for at least another quarter or so. And then over the balance of 2011, move down more in that 10% to 12% range.
Dennis Letham: Truthfully, that assumes a mid-to-high single-digit year-on-year revenue growth assumption if possible.
Hamzah Mazari – Credit Suisse: Okay, great. Thank you. And then, just – if you could just add a little color on what you're seeing currently in sequential daily sales trends across your business lines in October rather than as to what you saw in September. Are you beginning to see increase momentum? How is that playing out?
Bob Eck: Actually, we are seeing a little bit of increased momentum coming in fact over for the first three weeks in bookings and billings. So that's a positive trend for us. We have to be mindful though that as we get to the end of the year, we will see the holiday shutdowns in the OEM supply business. We'll lose more than the holiday days. We have some OEM customers in wiring cable. There tends to be more holiday downtime in Europe across all of the markets. So while we are seeing good strength in October, we do expect normal seasonality to impact us late in the quarter.
Hamzah Mazari – Credit Suisse: Got you. And then just last question on the increased project activity, these projects that are new or were put on hold with CapEx budgets starting to come back that you're seeing these ramp up. And how competitive is the bidding?
Bob Eck: It's both to answer the first part of the question. It's above new projects, and in some cases projects that have been put on hold. In terms of competitiveness, there is still a lot of competition and distribution as well as with our suppliers for these projects. So we're in an environment where there's excess capacity of the suppliers. There're certainly a number of strong distribution competitors that we face, so there is a lot of competitive activity around the projects.
Hamzah Mazari – Credit Suisse: Okay, great. Thank you.
Operator: Next, we go to Ryan Merkel with William Blair.
Ryan Merkel – William Blair: Thanks. Good morning, everyone.
Dennis Letham: Hi, Ryan.
Bob Eck: Good morning.
Ryan Merkel – William Blair: My first question is on copper. You mentioned that vendors have announced a price increase. Can you give us an idea of how much the price increase is, and then when it might hit your P&L?
Bob Eck: Well, we mentioned a couple of price increases. One was in data cabling. And those price increases are in the mid-to-high single-digit ranges. As I said in my comments, naturally, one of those will hit the P&L. Those are price increases into stock typically, into distributors' stock. The vendor tends to be project pricing without discounts from the price into distributors' stocks. So I think it will have a fairly muted – in fact, I would not look for its pass through. And the other thing again to keep in mind is that copper cabling as a product is not a huge percentage of our enterprise cabling and security solutions business we have. The connectors, we have racks and cabinets. We have fiber optic cables. Our supply is on and on, security products, there're all kinds of things in the mix.
Dennis Letham: I should point out too that those announced price increases, don't assume that that's 100% copper driven. This is an issue of rising commodity input costs for the manufacturers on a number of different fronts. So it is not correlated to copper in the case of the data price increases.
Bob Eck: Yes, and that's a great point. In fact, the data price increases are probably being driven more by compounds than copper.
Ryan Merkel – William Blair: Okay. And just to understand this, is there no price increase then in the wiring cable against industrial and electrical wiring cable side of business.
Bob Eck: For the electrical wiring cable, there are price increases that are copper driven.
Ryan Merkel – William Blair: Okay.
Bob Eck: Again, as we've said in the past, we have two chunks of products in that we have products that sell off of a price list and the products that are – and those products tend to be less sensitive to copper. Although as I mentioned, we are seeing price increases on the price list products. And then, the minimum voltage higher copper content products tend to trade more closely off of this copper price at the time of bid. And that's an important factor because when there's a bid that involves copper sensitive products, when that gets awarded, typically, copper is locked in at the time of award to basically fix the price so that our customer who is typically a contractor or an APC understands where their prices will be to execute the project. So the copper will be locked in early. And that's why I've said some of these more recent increases are going to be reflected in the billings on some of these projects where copper was locked in earlier at a lower price. Likewise, although we see price increases in the products that sell-off the price list, as those go into projects as well, there will be deviations from the price list that was recently instituted based on specific competition around the project. So the net effect of all that is that we will see a benefit from copper like we talked about in our numbers. We always call out the copper impact. We will see a benefit from it. But I think it's important to disconnect the spot price in copper movements from what happens in the revenue in net wiring cable business. Because in this environment, it's not as close of a correlation as we see in high demand, high capacity environments.
Ryan Merkel – William Blair: Okay, great. That's good color. And then, my second question is on booking trends. Last quarter, you made a comment that bookings were exceeding billings. And I was wondering if that's still the case today.
Bob Eck: Yes.
Ryan Merkel – William Blair: Great. And then, lastly on gross margins, we've seen improvement there for a few quarters. I think that's mostly been about mix. So my question is, are there still legs left for this mix shift being a driver? And then, are there any other positive drivers that we can think about helping 2011? I guess this cost issue in Europe would probably be one of those.
Bob Eck: Yes. Ryan, first off, mix definitely has been a component of the improvement over the last three quarters. And we do think that there is upside with continued improvement of mix in that as well. But just keep in mind that that mix is both a combination of the end market mix with the recovery within the OEM supply business. But it's also a regional segment mix. As Europe was our segment, it was down the most in '09. And as it recovers more on to its historical mix back in '07 and '08, that was also having some upward help to the gross margin percentage.
Ryan Merkel – William Blair: Thank you.
Operator: Next, we'll hear from David Manthey with Robert W. Baird.
David Manthey – Robert W. Baird: Hi. Thank you. First, Bob, at the end of your prepared comments, I think you said something about growth rates possible decelerating into 2011. I wasn't clear on the factors behind it. And that's just more difficult to answer.
Bob Eck: Dave, I don't believe I said decelerating into 2011. I talked about decelerating growth in the fourth quarter due to the seasonality.
David Manthey – Robert W. Baird: Okay. All right. And then next, in terms of this – the fastener issue here in Europe, if that happened you said late in the third quarter I believe, and if that was, let's say, just in September and had a – maybe a one-third impact on the quarter and took you down to 0.8% negative operating margin, will that imply maybe 2.5% points EBIT margin in the fourth quarter when we get the full impact from that?
Bob Eck: It wouldn't be in the late September phenomena. It would be a second half of the quarter phenomena.
David Manthey – Robert W. Baird: Okay, so maybe not quite that much. And then, your comment earlier about the European profitability relative to volume and you said there wasn't a volume issue there and you've been breakeven this year. What does it take to get us to a higher level of profitability? Is it just volume that gets us over the hump or are there are other structural issues that you're working on there? If there are, could you help us understand what those are?
Bob Eck: Okay, so maybe a couple of things first. While we do think these margin's squeeze in OEM supply in Europe will impact us in the fourth quarter, we do expect to make some progress on it. Then moving to your question about volume in Europe and other things we are doing, I think we've talked about this multiple times in recent quarters. We have a number of volume initiatives running. And we continue to look at operational structure. So it's not the case that we've decided we've done everything we can do to pull extra productivity out of the business. So we continue to look out our facility's layout, our distribution network, opportunity for shared services in the back office to reduce some expense. Is there a better way to manage having statutory and tax accounting in 20-plus countries? So I don't want you to think we think we have the expense piece of that lift. We continue to look at the expense piece of it as well as continue to drive a number of product and expansion initiatives. So among the things we've talked about in the past is we wanted to add products and vendors to the enterprise cabling and security solutions business in EMEA. And I believe we've made good progress on that. In addition, we focused our wiring cable group in continental Europe specifically towards OEMs and EPC as we've definitely made progress on EPCs and OEMs in some of the countries. So we have a number of volume initiatives underway. We opened a redistributor called Express Connect, which we talked about in the past. Express Connect started with the contract with one of our suppliers, has now added a second supplier. Volume on that should begin in December. And I will say not meaningful in Q4, but will start to impact next year. So we do have a number of volume initiatives underway as well as cost management initiatives.
David Manthey – Robert W. Baird: Okay. Thank you. That's all. Thanks a lot.
Operator: Now, we go to Anthony Kure with KeyBanc.
Anthony Kure – KeyBanc: Good morning, gentlemen. How are you this morning?
Bob Eck: Good. Thank you.
Anthony Kure – KeyBanc: Good, just a couple of questions again on that issue in Europe regarding the protection of actions. First, I think you alluded to some of the things you're going to take steps to help alleviate that or address that. I didn't quite catch what were some of those steps you might take.
Bob Eck: Okay. The key step we have to take is to – well, there're probably two key steps. One is continue to try to drive price increases on a pass through to our customers. So we will continue pushing our matters. As you can imagine for the factors, Dennis mentioned earlier that it's not a simple exercise. Certainly, customers don't want to take the increases. But there will be cases where we will be successful in pushing increases through. Secondly, we talked about resourcing products to other low-cost countries. So we have had people in low-cost countries other than China working at resourcing with manufactures of fasteners there. That can take effect during the fourth quarter in some of the products that are not subject to this PPAP requirement. But it will difficult to get the PPAP products completely resourced for a whole range of reasons. So we will continue working on those initiatives. And we'll certainly look at productivity in our organization as well. And frankly, we're pushing out all those leverage right now. And we expect to make some progress in the fourth quarter.
Anthony Kure – KeyBanc: Okay. And I believe OEM is a small piece of North America. But is there any risk for similar protection of action-type here in the US or in Canada?
Bob Eck: The specific thing that happened in Europe was driven by some Italian fastener manufacturers that went to the EU and basically asked for protection. We haven't seen that in the US. But frankly, if our government went down a path to take strong protection of action against China or currency or whatever, that could certainly impact that business. But at this point, we don't see the same type of thing unfolding in the US.
Anthony Kure – KeyBanc: Okay. Thanks. And then just one more on emerging markets, it's down – the margin's down year-over-year despite volumes being up consistently each quarter. I just want to get some insight. And maybe you mentioned it. If you have, I missed it; why margins just haven't been at the same level as they were in the first three quarters of last year.
Ted Dosch: Yes, Tony, the single biggest driver affecting us in emerging markets is due to what's happened in Venezuela. Venezuela was our – last year, was our third largest volume market in Latin America, but it was by far and away the most profitable. So not only have we lost over 50% – I think closer to 60% of that volume year-over-year in the country, the margins are down dramatically. We should also point out though the part of the reason why those margins were so large last year was because of the costs associated with getting money out of the country. So we were experiencing some fairly significant FX losses below the operating margin line, which brought that very high Venezuelan operating margin down closer to the operating margins for the rest of the region. So year-on-year, it's the volume that's hurting us there more so than it is the operating margin per se. But that's quite far and away the single biggest driver in the emerging markets business.
Anthony Kure – KeyBanc: Okay. Thank you.
Operator: We'll go now to Ted Wheeler with Buckingham Research.
Ted Wheeler – Buckingham Research: Hi. Good morning, all.
Bob Eck: Good morning.
Ted Wheeler – Buckingham Research: I wanted to just pick up on the project business. You mentioned the trajectory or you're moving toward the normalized trajectory of having a 20% project mix. I think you've been pretty consistent in talking about a muted cyclical recovery in global economies in this cycle. So I guess my question is, when do you think – if current trends continue, when do you think you'll be running at that 20% mix of project business?
Dennis Letham: Figures, I think.
Bob Eck: A couple of questions at it, it has a lot to do with the speed of recovery. And we're probably a ways out. We'd almost have to get back to '08 volume before we'd see that yet again.
Ted Wheeler – Buckingham Research: Okay. And then, on the project activity within industrial wire, I think you've earlier said that some of those projects in backlog take a while to convert to revenues because of lead times now. Was the actual revenue from projects in wiring cable meaningfully up in this September quarter or is it more of an orders backlog?
Bob Eck: The revenue was up from projects in the third quarter, and backlog's built as well.
Dennis Letham: Yes. I mean we had 11% sales increase on an organic in wiring cable. And part of that 11% is due to projects actually billing in the third quarter. But at the same time, the backlog has continued to build.
Bob Eck: Right.
Ted Wheeler – Buckingham Research: Thanks for the color, and good quarter. Thanks.
Operator: We'll take a question from Brent Rakers with Morgan, Keegan.
Brent Rakers – Morgan, Keegan: Good morning. I hate to probably beat this thing to death. But I wanted to follow-up on the European OEM supply business. I'm looking through it again. Correct me if I'm wrong on this. But I'm looking through the gross margins Q1, Q2, and Q3 of this year. And I'm showing in Europe about 23.5% in all of the quarters of this year. So I was hoping maybe you could explain that disconnect there. Did that indicate – first of all, how much of that European OEM supply business cost you in the current quarter? And my related question is what is going on with the other two segments in Europe to push up the gross margins to this degree sequentially?
Dennis Letham: I guess, Brent, we'll (inaudible) because we don't report gross margins by geography throughout the world. Okay? The second reporting we have of that is in a quarterly basis. So I think when we looked at what happened in Q3 as Bob has described and when he commented, basically what happened is beginning in the middle of the quarter, we've gotten this squeeze on pricing. And we suffered some gross margin deterioration in Q3 around that in the OEM business. It's really as simple as that. I'm just not sure where you got your 23.5% at.
Brent Rakers – Morgan, Keegan: Okay. Fair enough. I'll follow-up on that offline. And the second question on – back to some of the earlier questions on the price inflation in enterprise and in electrical wiring cable, a comment made about mid-to-high single digits within the enterprise, is that an average all the products represented? Or is that within a specific percentage of the products in that category?
Bob Eck: Specifically, copper, data, cable.
Brent Rakers – Morgan, Keegan: Okay. So if you extrapolated that, Bob, across all of the products, are we talking low single-digit collective increase in that segment?
Bob Eck: Potentially less than that. I would be very cautious about trying to infer from those target price increases in the distributor stock conclusion on what'll actually flow to the revenue; in particular because as I mentioned, in projects, pricing rarely follows the input distributor pricing. So projects continue to be competitive as I've said earlier. And I think that will certainly impact the ability to get price increases.
Brent Rakers – Morgan, Keegan: Then just lastly, on the wiring cable side, I think you mentioned the degree on the enterprise side. But I don't think you've quantified what kind of price increases you're seeing from suppliers on the list price right now.
Bob Eck: I did not quantify a number. And actually, I don't have that.
Brent Rakers – Morgan, Keegan: Okay. And I got some one other final question then, there's a reference in the press release on the North American operating margins that does mention price increases as a factor in those margins. Is that just referencing the revenue or is there actually an additional spread, if you will, being made there?
Bob Eck: That would be revenue.
Brent Rakers – Morgan, Keegan: Okay. Great. Thank you very much.
Bob Eck: And Brent, that was, I believe, specifically referenced to the copper price impact.
Brent Rakers – Morgan, Keegan: Okay, okay. Thank you.
Operator: (Operator Instructions) We'll go now with Jeff Beach with Stifel Nicolaus.
Jeff Beach – Stifel Nicolaus: Yes, good morning, Bob and Dennis.
Bob Eck: Hi, Jeff.
Jeff Beach – Stifel Nicolaus: Can you describe a little bit more what's happening among your industrial and manufacturing end markets? It looks like, between the wiring cable and the OEM supply, it seems to be broad-based. It seems to be maybe coming in the third quarter and continuing at a pace maybe better than expected. There was a comment on Europe about almost every vertical seeing strength across your manufacturing markets. Can you just expand on the strength? And is it the end customers or is it partly again market shares and – market shares and expanded product offering? But I look and I – that's been going on for years.
Bob Eck: Well, my reaction to that is that we are seeing increases in activities from all of the vertical segments or vertical markets that we pay attention to in our industrial business, whether it's the wiring cable or the OEM business. It seems broad-based. I think it's absolutely tied to economic recovery, even though the recovery in the US and Western Europe seems to be somewhat of a softish [ph] recovery. I think that is driving the activity we're seeing.
Ted Dosch: Yes, I think, Jeff, specifically in the OEM supply, which is clearly where we've seen the biggest growth year-over-year, just keep in mind that's the portion of our business that was down the most in 2009. And as I think we've described the last couple of quarters that we believe that our customers drop their production levels to a greater degree than the end demand of their products as they had to get their inventory in line. We believe they somewhat were seeing that that inventory correction, the inventory of our customers finished good in their sales channels hasn't been right-sized to the current levels of demand. So what we are seeing now is some upside from improved demand, but also some of these additional customer wins and additional parts that we've won at existing customers.
Jeff Beach – Stifel Nicolaus: Okay. And just related to that, right now I think the general outlook is very weak economies in North America and Europe for 2011. And yet these industrial manufacturing markets are basically I think broadly beating estimates across the board. And I just wondered if you have this feeling that this industrial manufacturing momentum will carry into 2011.
Bob Eck: Well I guess our crystal ball is probably as good as everybody else's. Our sense is that we're still seeing good activity. So that will lead us to believe that carries into 2011. However, as we've – that maintaining, we're paying close attention to expenses. We're paying close attention to working capital because we don't want to get too far ahead of the market and find ourselves in a position where we've built a structure for a bigger business than we actually have if we see a double dip or a flattening out. So my personal gut feel is that there will be moderate growth next year. However, there are certainly some risks to that. And so, we're going to manage the business to be ready to either take advantage of opportunities that come along. Certainly, we'll continue to invest in some of our initiatives, which we think our market share take initiatives. So I guess we've never been bashful about investing in things we think help us take market share in upward-down economies. So we'll continue to do that. But I think the underlying pieces for us are that we think that there will be moderate recovery continuing through 2011.
Jeff Beach – Stifel Nicolaus: All right. Thank you.
Operator: For our next question, we go to Ryan Merkel with William Blair.
Ryan Merkel – William Blair: Thanks. I just wanted to ask one more in market share gains. Are there one or two growth initiatives you believe are really driving this? Or is it just simply a combination of all of that?
Bob Eck: Honestly, I think it's a combination of multiple things we have going, the new business development focusing on security; some of the targeting at our wiring cable adds to the OEM market, both in North America and in Europe; expanding the wiring cable market in Latin America as well. So I think actually, we have a number of initiatives that we continue to talk about that are underway. And they're all contributing.
Ryan Merkel – William Blair: Thanks, great color.
Operator: And gentlemen, we have no other questions in the queue. I'll turn the conference back over to you for any additional or closing remarks.
Bob Eck: Thanks, everyone, for joining us today. We believe that the global economy is undergoing a modest recovery. And our global reach, strategic initiatives, value-added business model position us well to support our customers in the improving economic environment. Thanks.
Operator: Ladies and gentlemen, that does conclude today's call. Once again, thank you for your participation.